Operator: Good day and welcome to the OMA First Quarter 2015 Earnings Results Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Jose Luis Guerrero, Chief Financial Officer. Please go ahead, sir.
Jose Luis Guerrero: Thank you and good morning. Welcome to OMA’s first quarter 2015 earnings conference call. My name is Jose Luis Guerrero, OMA’s Chief Financial Officer. And joining me this morning is the IR team, made up by Vicsaly Torres, Emmanuel Camacho and Manuel de Leon. OMA’s operations continued to have a strong momentum. Passenger traffic grew 17.5% in the quarter to 3.8 million, with substantial growth in both domestic and international passengers. 12-month passenger traffic reached 15.3 million passengers, a new record. Passenger traffic volumes continued to grow as a result of the expansion of the airlines and the opening of new routes throughout last year and in the first quarter. We are able to convert these volume growth into revenue and deliver strong performance from our aeronautical and commercial activities. We also continue to develop our diversification initiatives with good results. As a result of our effective cost controls, OMA also solid increases in operating income and adjusted EBITDA. Finally, our Annual Shareholders Meeting last week, a capital reimbursement to shareholders of MXN1,200 million and the technical service agreement would be renewed automatically. I will make a few comments on each of these points, and then we will open the call to questions. In terms of first quarter operational developments, the number of flight operations rose 8% in the quarter to more than 85,000 operations. This reflects the addition of new routes and new frequencies by airline clients. Passenger traffic volume increased 17.5% with roughly equal growth of domestic and international traffic. This marks 16 quarters in a row of growing passenger traffic volume. The increased passenger traffic is broadly based. 11 airports increased traffic during the quarter and 12 of the 14 main scheduled airlines we serve, increased passenger volumes, with the largest contribution to growth from Volaris, Interjet, VivaAerobus, and Grupo Aeromexico. OMA continues to work effectively with the airlines to grow traffic. Three airlines opened six domestic routes in the quarter, while five routes closed. In addition, two new international routes opened, Monterrey-Los Angeles on VivaAerobus and Monterrey-Miami on Aeromexico. Regarding domestic airline expansion plans, we expect to continue to see growth in some airlines, such as Volaris, Interjet and TAR, as well as a renewal of fleet in Aeromexico and VivaAerobus. On the commercial front, we opened 40 new passenger services, banking services, local advertising, restaurants and retail establishments in the quarter. The commercial lease occupancy rate remained constant at 96%. Our diversification activities also had a very strong quarter. OMA Carga, more than doubled its revenues, and service also finished this to attract round cargo. Truck flights accounted for 45% of cargo revenues in the first quarter, up from 24% in the prior year period. The NH Terminal 2 hotel revenues per available room increased by 4% year-over-year to Ps. 1,478 and the occupancy rate was 79%. We also officially inaugurated phase one of the Monterrey Industrial Park in late March, and the outlook for leasings signings is very positive. The Monterrey Airport Hilton Garden Inn Hotel is almost completed, and the remaining work is mostly finishing work on the interior spaces. The 130-room hotel is expected to open in the early part of the third quarter. Turning to our first quarter financial results OMA recorded double-digit growth in revenues, operating income and adjusted EBITDA and a strong cash flow generation. Aeronautical revenues increased 21%, principally because of the growth in passenger volumes. Aeronautical revenue per passenger was Ps. 178. Non-aeronautical revenues increased 19.5%. The line items with the largest contributions to growth were parking, up 23%; advertising, also up 23%; car rental, up 24%; retailers, up 17%; and restaurants, up 20%. Non-aeronautical revenue per passenger was Ps. 52.9. Passenger traffic growth, the new service model, and rate increases in several airports continued to drive growth in parking revenues. Advertising rose principally because of continued expansion of non-traditional advertising and direct sale of advertising space, as well as implementation of new services such as OMA-TV, interactive walls and the multi-sensory hallway in Monterrey. Revenue from retail shops and restaurants grew as a result of traffic growth and the opening of new restaurants in four airports and new shops in eight airports over the last over the last 12 months. The cost of airport services increased only a third as fast as revenues. The increase was 6.2% in the first quarter. Much of the increase reflects expenses related to our current Master Development Plan and it's included in other expenses. The cost increases were partially offset by the decreases in material supplies and utilities. Total operating costs and expenses increased 12.3% in the quarter, well below the rate of revenue growth. The principal increases were the construction cost, which is a non-cash accounting entry, concession taxes and the technical assistance fee. As a result, OMA's first quarter adjusted EBITDA increased 33% to Ps. 536 million. The adjusted EBITDA margin was 58.6%. This very strong operating results offset by higher financial expenses and tax payments. Financial expense increased Ps. 88 million from Ps. 14 million in the first quarter of 2014. This was the result of higher interest expense from the bond replacement last year, a loss on the fair value adjustment of the maintenance provision and a modest FX loss. Taxes were Ps. 84 million, with an effective tax rate of 25.6%. The year-over-year increase in taxes was principally the result of a low base of comparison with the prior year, because of some deferred tax credits. OMA expects the full year effective tax rate to be approximately equal to the first quarter level. As a result, consolidated net income was Ps. 284 million, unchanged compared to 2014 level. First quarter investment expenditures, including Master Development Plan and strategic investments, were Ps. 195 million. Investment expenditures for the quarter included additional modernization and expansion work at the Mazatlan Airport, the Zihuatanejo Terminal building expansion, the hotel and industrial park in Monterrey and works at the Acapulco Terminal building. Our cash flow generation also continues to be strong. Cash flow from operating activities generated cash of Ps. 530 million in the first three months of 2015, bringing cash balances up to more than Ps. 3,500 million as of March 31. As you know, OMA held Ordinary and Extraordinary Shareholders Meeting last week. The two principal items of extraordinary shareholders meeting were the approval of our capital reduction and the automatic renewal of the Technical Assistance Agreement with OMA’s strategic partner set upon expiration. 85.57% of shareholders were represented in the Shareholders Meeting. Because of the company’s financial position, the Board of Directors proposed paying a capital reimbursement to shareholders of Ps. 1,200 million or Ps. 3 per share to be paid no later than May 31. Regarding the Technical Assistance Agreement, a majority of shareholders, not related to the TAA, did not vote for its renewal. Therefore, the Technical Assistance Agreement will renew automatically in June. In conclusion, the first quarter is a promising beginning for 2015. Traffic and revenue growth are strong. Aeronautical, commercial and diversification initiatives are all performing well. Now with the verification projects are an important plus factor in OMA’s growth strategy. Cost controls are keeping expenses in line and strengthening the net EBITDA and cash flow generation. We are confident that these trends will continue during the rest of 2015. This concludes our prepared remarks. We will now be happy to Operator, please open the call to questions.
Operator: [Operator Instructions] And we’ll take our first question Francisco Suarez.
Francisco Suarez: Hi, good morning. Thank you for the call and congrats on the results. Very impressive results. Two questions if I may. One related with your financials. It seems that your overall effective tax rate is relatively low. Do you think that is sustainable going forward for the rest of the year? And the second question relates with the Shareholders Meeting held last week. Can you actually disclose what was the number of votes that voted in favor of keeping the current technical agreement?
Jose Luis Guerrero: Sure. Thank Francisco you for your question. Regarding the first question about the tax rate pro forma, we were at a tax rate close to 26% in the first quarter. We believe that we can close the year roughly below 30%, maybe between 26% and 29%. And the reason for this is because we have 12 airports that are still amortizing losses and therefore, the largest contribution to income tax are the Monterrey Airport and the Group as an entity. Regarding your second question, during the Shareholders Meeting, as I mentioned during the call, we had about 86% of the total shareholders present in both Shareholders Meeting, in the Ordinary and in the Extraordinary Meeting. During the Extraordinary Meeting, we had the number – two of the items in the agenda, was for the renewal or not of the Technical Assistance Contract. For that matter, we had about 61 million votes against the renewal of the Technical Assistance Agreement out of a total of 209 million shares that are the non-related parties of the total shares, or the total number of B shares that are not related parties that were actually voting for that line item. So the B shareholders did not have majority. They needed about 105 million shares in total for them to be able to cancel the Technical Assistance Agreement. So they didn't have a majority in that vote. So for that reason, the agenda continued and we did not go into Item 3 of the agenda, which was the conversion of the BB shares to B shares.
Francisco Suarez: Got it. Thank you, it makes sense. It’s helpful, thank you very much.
Jose Luis Guerrero: You are welcome.
Operator: We’ll take our next question from Stephen Trent.
Kevin Kaznica: Hi, good morning guys, thanks for taking the questions. This is Kevin Kaznica asking in for Stephen. Election in Mexico right now. You’ve answered basically the one major question we had was how close was the Extraordinary share vote last week related to the TAA. I guess, my other major question was what – I guess in your view – with respect to ECA, do you think they could sell more shares of OMA? It looks like they might get some fund from other sources and does this provide some relief for you guys?
Jose Luis Guerrero: Sure, thank you Kevin. So that’s more of a question for ECA. They have said previously in public during their Shareholders Meeting in the last quarter of last year, and I believe in other events that they are very happy with their position with OMA, and they’re not looking to sell any more in the short-term. But I’m not aware of the strategic projects of ECA. So I think that’s a better question for them.
Kevin Kaznica: Okay, fair enough. And then finally, what sort of a commercial airline capacity trends are you seeing in Monterrey and what do the trends look like in other regions?
Jose Luis Guerrero: So Monterrey is doing extraordinary well in terms of traffic. When we reported the March traffic, we saw very strong growth in Monterrey. Monterrey is growing at 32% in the month of March and accumulated at 26%. You have Monterrey growing at 39% in the month of month of March for international passengers and at 30% for domestic passengers. So these are extraordinary growth numbers in Monterrey and it is due to a number of factors, primarily that the demand is there. There is the – the State of Nuevo Leon has been able to break its record of FDI investments in the region every year, and today we have a giant investment of $2 billion from a car manufacturing company, right next to the airport. So that should also help us in placing the warehouse that we already have built in the industrial park, in Monterrey. And in the other hand, the airlines have also been adding a lot of capacity at the Monterrey Airport. So that looks very promising as well. As you know, we started operations of a hub from Aeromexico in the Monterrey Terminal B. Volaris also has a much stronger presence in this airport. And both VivaAerobus and Interjet have also been increasing their number of planes that they have available in this airport. I would say, this first quarter came very strong. We will probably see another second quarter strong in the year. And, probably the second half of the year will not be as strong as this first half, but we definitely will see an increase in traffic.
Kevin Kaznica: And for the – I guess that FDI on that – the investment right next to the airport for the auto manufacturer, you say 2 billion, is that Ps. 2 billion, $2 billion?
Jose Luis Guerrero: That will be in dollar.
Kevin Kaznica: $2 billion, okay. And then, also just one last one. The Monterrey Hilton Garden Inn Hotel, I couldn’t really hop in the call, did you say that you’re expecting that should be open in 3Q this year?
Jose Luis Guerrero: Yes, we’re expecting the first soft operations to start the month of June, so we will probably open to clients in the early days of July.
Kevin Kaznica: Great. Thank you so much for the question and answers.
Jose Luis Guerrero: You’re welcome Kevin.
Operator: [Operator Instructions] We’ll take our next question from Pablo Zaldivar with GBM.
Pablo Zaldivar: Hello, Congratulations on the results. I have a couple of questions. The first one, could you give us a little bit of insight on OMA Carga and this quarter’s results, because we saw an important increase?
Jose Luis Guerrero: Sure, thank you Pablo Zaldivar. So, regarding OMA Carga, we have seen an extraordinary growth in the land cargo that we operate. As you know, the physical space that we have in Monterrey has the capacity to receive land cargo that’s coming from the – from the border. So, freight doesn’t need to stop in the border to go through customs, they can come directly to the Monterrey Airport and go through the process of customs here. So that saves So that saves a lot of time for companies to do their administration, their border administration at the Monterrey Airport. So that’s where most of the growth is coming. And also part of the growth in revenues comes as well from an adjustment in tariffs that we did late last year.
Pablo Zaldivar: Okay. Thank you. And the other one, what are your expectations for the industrial park? I know you just said there are $2 billion investment by a car manufacturer. Is that already settled to go inside the industrial park or it’s just nearby the airport, and do you have anything else for the industrial park for the year?
Jose Luis Guerrero: Sure. regarding the investment that came to Monterrey, one of the largest investments that is currently happening is the KIA car manufacturing plant that is roughly a $2 billion investment in the Pesqueria municipality, where part of the airport is in that municipality and it’s expected that suppliers will invest another $2 billion to service this new car manufacturing facility. So we are positive that maybe some of those suppliers of KIA will have their base at our industrial park in Monterrey. So currently, we have one warehouse available. This is a 5,000 square meter warehouse available at the Monterrey Airport. That is already finished and is now – we’re now looking for clients. We have a couple of companies interested that have given us a Letter of Intent. So we hope that by end of this year we start seeing some revenues from that existing warehouse that we have, and we have seen clients that are interested in larger warehouses. So we look forward to giving you news on upcoming clients in the industrial park.
Pablo Zaldivar: Okay, thank you very much for your help.
Jose Luis Guerrero: You are welcome.
Operator: Our next question comes from [indiscernible] with Santander.
Unidentified Analyst: Hi Jose Luis, thank you so much for the call. I just have a quick question. With the strong passenger growth that we saw during the first quarter 2015, what are your expectations for the full year? Is this still the same as we had it before, or are you modifying it? Thanks.
Jose Luis Guerrero: You are welcome. So we have seen a very strong growth in the first quarter and we believe that we will probably need to update our guidance when we report the second quarter results in July. So we are feeling positive or optimistic that our guidance will be improved in terms of passenger traffic.
Unidentified Analyst: Thanks so much.
Jose Luis Guerrero: You are welcome.
Operator: And it appears there are no further questions at this time. So now I will turn the conference back over to our host, Mr. Guerrero, for any additional or closing remarks.
Jose Luis Guerrero: On behalf of OMA, I want to thank all of you again for your participation in this call. Vicsaly, Emmanuel, Manuel and I are always available to answer your questions and we hope to see you soon at our offices in Monterrey. Thank you and have a good day.
Operator: Thank you for your participation. This does conclude today’s call.